Anastasia Belyanina: Thank you. Good afternoon, everyone. Thank you for staying with us for this afternoon and for those of you in different time zone, good morning. So we have our traditional call dedicated to our results, and we have our speakers, our CFO, Mr. Alexander Morozov; and our CRO, Dzhangir Dzhangirov. Alexander will give you a concise overview of our results, and then we move to our standard Q&A session. So I suggest we have very efficient but useful call for everyone ahead of Labor Day in Russia. And I hope we’ll spend this time useful. Thank you. Alexander, over to you.
Alexander Morozov: Hello, everybody. Good time of the day, and thank you very much, once again, for joining us today. I am sure you have had time to review our first quarter results, and I am not going to go too much into details. I’d like just to highlight some of our key achievements and issues and focus on important developments over the period. And after that, I will be more than happy to answer your questions, more specific questions. In the first quarter, Sberbank Group earned profit RUB 226.6 billion, and it results in return on equity 22.9%, nearly 23%, which is quite good for the first quarter. Net interest income increased slightly, but increased to RUB 337.5 billion, and what is important to highlight here is that I as CFO of Sberbank focus a lot on the margin development. And as of now, I am 100% certain that in the first quarter we budget out our net interest margin. So we’re past the minimum and starting from the second quarter, it’s very important our margin will start to recover. We see some first signs of it already now, and you will see it in our ruble-denominated reporting – monthly reporting, which will be published in a few days, beginning of May. So results are opportune. I will address this topic in more details answering your more specific questions. But what is important here to, once again, underline is the margin in the first quarter was at minimum. Now we are on the way to recovery, which is very much important. We felt pressure in the first quarter from more expensive cost of funding, which was a result of quite serious big borrowings undertaken in the fourth quarter last year, beginning of this year to fund aggressive growth of our lending portfolio in the fourth quarter year 2018. And now it’s over. Headwind is fading away, and we have taken all the necessary steps to deliver on our guidance for net interest margin, which is set in the 5.5% area for the full year, and as of now, I’m not going to change that guidance. A few words about development of our retail lending. Retail lending remained strong and grew by 3.5% year-to-date, reaching RUB 7 trillion in terms of absolute volume for our retail portfolio. And it was led by consumer unsecured lending, up by 4.6 percentage points year-to-date. Mortgage portfolio increased by 2.3% in the first quarter. And what is very much important to say is that our housing ecosystem, DomClick, keeps on encouraging customers to go digital. The share of mortgage originated for this online platform exceeded 27% in all Russia and sort of 48% in Moscow area. We also see substantial growth in this supplementary services what this platform offers. Cross-sell of title transfer reached 50%, secured payment 84% and property appraisal 77%. So that’s a very good result and very good development as we can see it. Corporate side. On corporate loans, overall loan portfolio decreased by 3.4%, but what is important to understand here is that ruble lending was very strong, and I’m sure its growth slightly less than 1 percentage points, while foreign exchange lending was going down, minus 3.7%, adjusted for ruble devaluation. And what’s just flat is overall rebalancing of our portfolios from currency to – foreign currencies to Russian rubles, which is very supportive and beneficial for our net interest margin and reflects overall structural devolatilization of Russian economy. In other terms, it is important to notice that for the first time in the history of Sberbank, retail loans exceeded 33.5 percentage share of our total lending portfolio. And this portion will continue to increase. So I expect that by the end of this year, portion of retail loans will be above 35%, 37% – even 37% of our overall loan portfolio on the group level, which is important and very supportive for the margin as well. Next topic, fees and commissions. Fees and commissions grew by 10.7% to the level RUB 104.5 billion. And it was driven primarily by acquiring bank card operations, plus 24%; client operations with foreign exchange, plus 15%. And the same time, our cash and settlement transactions commission grew much less when the first quarter – when we might expect to say we grew just less than 1 percentage point, and it may be explained by the fact that our cash collection and cash payments are gradually declining, and cashless operations are taking the lead. So that’s the main reason. So development of cashless transactions, development of mobile operations leads to inevitable reduction of cash and settlement – cash settlement transactions. Same time period that I also like to underline what we focus now, our management, on much higher attention towards transactional accounts and current accounts of our customers, specifically corporate customers. And we will launch our product list in this respect. So I think it will be also very much supportive for the margin development. Additionally, we adjusted – it’s worth to mention that we adjusted our priorities in the first quarter on corporate side in favor of small businesses, and a number of relevant marketing campaigns, initiatives were introduced, which leads to some temporary decline in revenues. Consider it as just temporary campaigns. I think that on corporate side, fees and commissions will show much better results in the following quarters. So again, I do not want now to change any of our guidance with regards to our expected growth in fees and commission level. Full year, I think we’re fully capable to deliver our promises and we will do them. I expect to see some acceleration in the fees and commissions income in the coming quarters. So we will – we should meet our guidance on fees completely full year out. Third topic. Operation expenses. Operation expenses grew by 4.3% in the first quarter, and growth was driven primarily by external factors like ruble devaluation and rate increase. Some internal reasons also played some role, so we shifted IT staff, as you remember, from 1st of July last year and related expenses from capital expenditure to operational expenditure. And as you remember, if adjusted for these factors, OpEx will go down by 0.5%. Also, we reported first adoption of IFRS 16 standard since the beginning of this year. And now we recognize right of use assets and lease liabilities. Right of use assets is depreciated through OpEx, while lease liabilities incurs interest expense. And as a result, operating lease expenses as stated is now effectively split between depreciation and interest expense. So with regard to interest expense, net implication in the first quarter was as big as RUB 1.2 billion additional interest expense. And this is a recurring number, so that’s not once shown in the first quarter. Every quarter, it will be more or less the same number. So I expect full year out it will be something like RUB 5 billion, maybe even more than that, additional interest expenses. That’s methodical changes, but nevertheless, optically, it drives down a little bit our margin. Forth topic. Combined cost of risk. Cost of risk was moderate at 96 basis points for the first quarter 2019. And please note that starting from first quarter 2019, net provision charged for foreign exchange denominated loans at amortized cost and change in fair value or foreign exchange denominated loans do not include foreign exchange impact. This impact is shown as foreign exchange translation loss or gains. This is very important change, which is now reflected in our reporting, and we believe that this is more appropriate way to show it. Quality of the loan portfolio improved. Share of Stage 3 and POCI loans of total gross loans at amortized cost went down to 7.9% from 8.1%. On other costs, specifically. As you know, we – in April, we completed the restructuring of Agrokor debt and Sberbank Group received rights to about 40% of the net assets of the new holding. We really turned back to the topic of potential provisional risk of fault against the regional debt when we see what we can properly define fair value of the rights we received. We expect it to happen in the second quarter and will be reflected in our second quarter results when we present it in late July. Next topic. I'd like to make some comments on some recent headlines appeared in the press and very often asked us on one-on-one basis with regard to our M&A activities in last several weeks. Very important. The rumors about Sberbank buying a key retailer and shopping mall Gallery in St. Petersburg are not valid. Not valid completely. I confirm it. On these both deals, both transactions, we are looking as an investment bank, potential looking at potentially providing credit facility for potential buyers or existing owners. That's it. That type of transactions are usually handled by merchant bank team. And we are making customer transactions in commercial terms on a paid term and a term basis. We do not have any intention to become owners or shareholders of those companies. And this is really very much important and I would like to encourage your colleagues, first of all from media, to be very, very careful and accurate when carrying these sensitive items. In the meantime, we keep on building on our ecosystem, which mainly is digitally focused. And I confirm our investments in Rambler Group's online assets. Very important, that's only online, so offline part is not part of the transaction, which is only one exception, and it's very much consistent with our strategy. I cannot disclose all the commercials details on that transaction, just one number I can give you, that's price of the transaction is relatively small and represents around 1% of our net profits full year out of the group level, something like that. So it's not something sizable. It's much smaller than, let's say, Yandex.Market or something like that. So in terms of size and in terms of scale, it's much smaller transaction. But for quite urgent reasons, we cannot give you all the details as part of our agreement with the seller. Finally, last but not least, DenizBank. We updated terms of our SPA agreements early April, and we informed the market about that in our press release immediately. So the deal is expected to be closed by the end of this quarter, second quarter 2019. And I'd like to remind you that the transaction should have positive effect on our core equity tier 1 capital adequacy ratio when it is completed, expect that a positive impact is more than 100 basis points. But at the same time, we should not have illusions about negative impact on our profit and loss on the IFRS standards due to currency differences and tax implication. Despite all these one-off effects, we still maintain our return on equity outlook for this year at the level about or over 20%. In respect to other lines of our guidance 2019, as usual, we are not going to change them now. We will return back to that topic as usual when we present our half year results. We typically do that update on the basis of second quarter. And results for just one quarter is too early to make any changes. So we keep going. We keep – we continue to be focused on delivering. And as of now, I am certain that we have everything now to deliver our promises as usual. Hope this was useful and helpful for you and having said that, I am ready to answer your more specific questions.
Anastasia Belyanina: Thank you, Alexander. We are ready to start Q&A.
Operator: [Operator Instructions] We will take our first question from Gabor Kemeny of Autonomous Research.
Gabor Kemeny: Hello. It’s Gabor from Autonomous. Thanks for the call. First question is on asset quality. So your provisioning is trending below the full year guidance, which is 130 basis points. And I understand that you assume a lower oil price, a $62 oil price, and the oil price is now significantly higher than that. So firstly, can you help us get a sense of how you are geared to oil prices in terms of asset quality? And secondly, what drove the increase in retail provisioning in the first quarter? You mentioned a minor credit card portfolio model adjustment, but a bit more color would be useful here?
Anastasia Belyanina: This question will be taken by our CRO, Dzhangir Dzhangirov.
Dzhangir Dzhangirov: So hello, everyone. As Alexander already mentioned, it’s actually too early to make conclusions or to change guidance for the whole year. So we will continue to have just the guidance for cost of risk of 130 basis points for the full year. It might change in the middle of the year, but today we are not ready to change any guidance. On the oil price, oil price, of course, affects macroeconomics in Russia and the quality of loan portfolios of the banks. And at the same time, the correlation here is not really linear. And in order to see the effects, the oil price should stay on significantly higher or lower level for significant amount of time. So today, I wouldn’t change our guidance for the – neither for corporate nor for retail portfolios. On the retail portfolios side, indeed, cost of risk for the first quarter is higher than it was in the fourth quarter last year. There are several effects for that. The three main effects are following, first, in the fourth quarter, seasonally, we have higher collection, and that decreased the cost of risk for the retail in the fourth quarter. The opposite effect we have in the first quarter, so seasonally first quarter is worse than the other quarters in the year. And the third effect, and it mainly affected the credit cards, is the changes in the methodologies. So we developed the new models for PD, LGD and EAD and also for the lifetime PD. And those types affected the cost of risk for the credit cards and the whole retail loan portfolio.
Gabor Kemeny: Thank you. And just can you give us a sense of – on the refinery exposure. So to what extent do you see the refinery exposures shaping the asset quality outlook for the rest of the year? Because I understand you had some significant provisions on these exposures in the first quarter.
Dzhangir Dzhangirov: Indeed, we impaired our exposure for the lone refineries through the year 2018, and we continued in the first quarter of 2019. We consider oil refiners to be adequately provisioned as of now. We consider all possible options, but as of now, this is all I can say here.
Gabor Kemeny: Thank you.
Operator: Thank you. We can now take our next question from Alan Webborn of Societe Generale.
Alan Webborn: Hello.
Alexander Morozov: Go on please. Hello, please.
Operator: Alan has disconnected. We can now take our next question from Danny Anson-Jones of Morgan Stanley. Please go ahead. Your line is open.
Danny Anson-Jones: Hi. Two questions, please. First of all, please, can you quantify the expected sequential NIM expansion for the rest of 2018? And on what CBR base rate is that based upon? And secondly, and forgive me if you’ve already mentioned this and the line is pretty bad, but can you talk a little bit about timing and potential size of Agrokor reversals?
Anastasia Belyanina: We’ll start with Agrokor, Dzhangir will answer.
Dzhangir Dzhangirov: Yes, as for Agrokor, we expect positive effect in the second quarter. So currently, there are no quotes in the market for the new instrument. And we continue to analyze the exposure. So we – as for the first quarter, we didn’t recognize any changes, but we will do that in the second quarter. There will be a positive effect on P&L.
Alexander Morozov: I think your first question is, I guess, to our sensitivity to the change of the interest rate policy set by Russian Central Bank. We are definitely sensitive to some extent, and we disclosed that number. So 100 basis points change gives me minus 18% – sorry, let's say capital sensitivity, that's approximately 18 basis points in terms of capital adequacy ratio. And same time, approximately RUB 30 billion – RUB 32 billion on annual time horizon for net interest income. So it's 100 basis points. Taking into account that Russian Central Bank normally takes very modest steps, something like 25 basis points, hence we have less than 12 months in front of us. So even in case we decide to change the rate to reduce it a little bit, we will have some positive impact, but this impact will be moderate.
Operator: We can now take our next question from Elena Tsareva of BCS Global Markets.
Elena Tsareva: Some of my questions already answered, just maybe on your insurance results. As I can see, you have like first quarter of negative result for insurance. What is the reason behind this? And what you expect to develop in the insurance business?
Alexander Morozov: Yes, you're right. Net premiums from insurance and pension fund operations amounted to slightly more than RUB 50 billion. So to be precise, RUB 51.8 billion, which is down by more than 60% year-on-year basis. In year 2018, there were some changes, substantial changes, in underwriting technology, which affected pension distribution in the first quarter of 2019, which is the main reason. But nevertheless, we undertook serious changes and took some serious decisions internally and as a part of these decisions, we completed an upgrade of our wealth management team first quarter this year. So I expect that the results this year will be dramatically better than previous year.
Elena Tsareva: And just small question on cost of risk guidance. So this 130 bps is just without any FX effect – FX revaluation effect, right?
Alexander Morozov: Yes.
Elena Tsareva: Thank you. That’s it.
Operator: [Operator Instructions] We will now take our next question from Svetlana Aslanova of VTB Capital. Please go ahead. Your line is open.
Svetlana Aslanova: Thank you very much. I have a couple of follow-up questions. First of all, on net interest margin. As I noticed, the share of your current accounts increased in the first quarter. What trends do you see in the current quarter or going forward? And also you mentioned dedollarization in the corporate loan portfolio. What is the current situation from your point of view on the customer accounts side? And my second question is on capital allocation. You mentioned significant positive effect from DenizBank sale. Can we consider or do you consider a special dividend following the closing of this trade?
Alexander Morozov: I will start to answer from your last topic, that is capital allocation. We – our dividend policy was approved alongside with our strategy for three years. And we are going to follow that strategy. So gradually increasing our dividend payout ratio up to 50%. And it was stated by our CEO, Mr. Gref, in a press conference following Board of Directors meeting in April, but next year, we will be going to set as 50% as payout to annual shareholders meeting. But we do not consider, as of now, any changes to our existing dividend policy. So I think that we will follow what we approved in December 2017.  So gradual increase and payment once a year. Let’s have a sheet – so dedollarization. We see the trend as very healthy trend, both on assets and liabilities. And we, as of now, have very healthy LDR ratio covering and preventing us from any trouble, any issues on liquidity side in each and every currency. And we see gradual reduction of the appetite for currency, both on assets and liabilities, which is lead by a gradual reduction of interest payable, especially on foreign currency denominated deposits. I would like to notice that Sberbank reduced interest payable on dollar- denominated accounts already three times since the beginning of the year. And we seriously reducing cost of our funds in that respect. We – and your first question was about current accounts Svetlana. Yes. As I mentioned, a number of times on our previous similar conference calls, our latest quarterly results, we continue to focus on further developments of current accounts business, settlement accounts, transaction accounts, all sorts of accounts without contractual maturities and free-to-sell priorities. So we will try to increase balances from that type of accounts because it helps us to manage our net interest margin, and this is a very key product for overall development of our relations with the customers. So we see it as that.
Svetlana Aslanova: Thank you very much.
Operator: Thank you. We can now take our next question from Alan Webborn of Societe Generale.
Alan Webborn: Hi, thanks for the call. Can you hear me?
Alexander Morozov: Yes, please go ahead.
Alan Webborn: Okay. Thank you. A couple of questions, if I may. You talked about the sort of the temporary issues in terms of the net corporate yields in the first quarter. I mean, when do you think retail yields will start rising? Do you think in the context of – I mean, the central bank clearly signaling that probably the next move is down. I mean, do you think you can see higher retail yields over the next couple of quarters? That would be my first question. The second question would be were – if you striped out the Agrokor issue in the first quarter, what would be NPL position be? Because as I understand it, there is a bit of a temporary increase in the NPL ratio as a result of the restructuring plan that will fall away at the end of the second quarter. Could you explain that? And then my other question, I guess was how far along the line are you in terms of this, the reduction in standard transaction fees given the sort of rapidity of digitalization? And do you feel that you’re now at a sort of a stable rate in terms of the proportion of fee income coming from the sort of cash and settlement transactions? Or do you think you’re likely to see further competition and, therefore, a reduction in that balance as we go forward? And I understand what you say in terms of replacing it with more transactions and so on, but do you think you sort of see fee levels and the areas that you can actually charge on are actually going to continue to fall as digitalization continues in Russia? Thank you.
Alexander Morozov: Again, I’ll start with your last question. We do not expect further substantial drop in cash settlements, fees and commissions. So gradual reduction of fees expected for a few years. But as for this year, I think that we will be able to preserve as a level at fees and commissions for respective product at current level. I would not expect further substantial drop. With regard to Agrokor, to cut long story short, the implication of Agrokor on NPL in the first quarter is about RUB 80 billion, okay? So that’s clear – clearly is a number. And retail yield. Here, it’s a little more complicated. Because I would not expect direct growth, substantial growth on retail yields, the retail loan yields, but at the same side, I would expect extension of the margin on the retail products because of few reasons.  First of all, starting from May – second half of May, beginning of June, our interest rate payable on new attractive deposits will be lower when rate payable on maturing deposits on the retail side, which will mean start and visible start of reduction of cost of our liabilities, which is very much important. I mean, rubles. On those side, it will see – it has seen already now. But in rubles, it will be seen late May and June. So we'll continue to reduce cost of our liabilities. On the asset side, the focus on credit cards, consumer loans accelerated growth.  The first product will increase overall a little bit yields on newly originated loan portfolio – retail loan portfolio. And at the same time, what is also very important, overall, retail lending is much more profitable than lending to corporates. As we continue to grow our portion of retail lending in our overall portfolio, now it's already one third of our total portfolio. That's a record in the history of Sberbank, 23.5%, and we are going to increase this portion up to 27% by the end of this year. So 25% to 27% depending on foreign exchange rate because we originate loans to retail only in rubles. And now – and depending on foreign exchange rate at the end of the year, our portion of retail loans in our total lending portfolio will amount to 25% to 27%. Altogether, what we have in balance? First, reduction of cost of funds shifted towards ruble-denominated lending, both on corporate and retail, shifts toward retail lending, which is more profitable. And within the retail lendings, corporate and – credit card, sorry, and consumer loans, which are more profitable part of the products. So altogether, it will be all these things are supportive, and we expect the extension of margin gradually within second, third quarter. So fourth quarter, traditionally, is a good one. Unless, something unpredictable and something new, what is not visible now, happens on global markets and Russian economy. But now we do not see what threatens the yield. And from that perspective, again – yes. And from that perspective, I'd like to underline that potential reduction of the key rate, set by Russian Central Bank, will have a marginal, so not very big, but nevertheless marginal positive affect on our margin as well, as we have quite a substantial part of our liabilities now taking from Russian Central Bank from Russian Treasury of Ministry of Finance with floating rates and interest rate and liabilities will be revised downwards. So, it will be supportive also for margin. So that's how I see it.
Alan Webborn: Super. Thank you.
Operator: We can now take our next question from Ivan Kachkovski of Renaissance Capital.
Ivan Kachkovski: Yes. Hello, good afternoon and thanks for the call. And my question is basically like a follow-up on one of the previous questions. So could you please give us some more color on your loan book yield? And in two parts in particular. So first of all in corporate yields, it doesn't seem that high yields on new loan and set levels have actually translated to your net interest income as it appears that customers are mostly withdrawing older lines with lower rates. What's the outlook here? What kind of dynamics in corporate ruble rates do you expect for the next few months and few quarters? And what kind of impact that could have on your interest income? And secondly, in retail, and particularly in mortgages, it seems that the yield is under pressure there by – due to repayments of the back book, which is high-yielding. Could you maybe give us some more color on that? And how significant that effect is and how long do you expect this to continue in the next few quarters? Thank you.
Alexander Morozov: Okay. I would not expect dramatic change on yields both on our corporate ruble portfolio and mortgage retail portfolio. I think that corporate's ruble portfolio will be more or less at a level this year where we are today. I would not expect those reduction of the average interest on the corporate ruble-denominated loan book. Vice versa, I would expect stabilization and some potential marginal increase of Sbergile [ph] because first quarter this year, we set net interest margin and suffered from use – from the fact that our customers used open credit lines at fixed rates. Those credit lines, which bank offer it to credit – to corporate customers, 12 months ago, nine months was structured at much lower rates and utilization of these credit facilities – utilization of these credit facilities. The factor leads to reduction of the interest received on loans from corporate from – by approximately 0.3 percentage points in the first quarter. So this factor is not playing anymore. It's over. And starting from the second quarter, I would not expect further deterioration of the yields on corporate book. This potential some minor-positive effect, some increase of average rates on corporate side in rubles. On mortgage side, I think that rates until the year-end as average on our portfolio taking into account size of our portfolio won't be affected substantially. So it'll be more or less constant. Some marginal effects on – from newly originated mortgages. Even when we decided to reduce the rates, which is not yet the case, we'll be offset by some other initiatives undertaken by the bank. So I think that in your model you can plan stable yields and mortgage portfolio at least for next couple of quarters. I hope, I answered your question.
Ivan Kachkovski: Yes, that is great. Thank you very much.
Operator: Thank you. We can now take our next question from Simon Nellis of Citi. Please go ahead.
Simon Nellis: Thank you very much for your call. I was hoping just if you could provide an update on any regulatory actions that might impact the bank and I know there was talk a while back about potentially regulating interchange fees. Sounds like that's gone quite. Also, just wondering if you made a decision on whether you'll join the Central Bank faster payment system or that's going to be required and any impacts expected there? And then I have a second question, more strategic, just on the sustainability of retail loan growth. I mean, it's been growing at over 20% for some time. Can you provide maybe some detail on the leverage of your retail customers? PTIs, DTIs, how comfortable are you with them continuing to put on credit? What kind of growth rates do you think are sustainable longer term? Thank you.
Alexander Morozov: Okay. I will start and Ivan Dzhangir will continue to answer your questions. It gets Sberbank an indirect inclusion into the Central Bank of Russia fast payment system. Yes, we have our own system of peer-to-peer payments, which – that system is very popular. And every month, we process more than 2 million transactions today in this system. And number of active users is growing every month. So it's very popular. We continue to develop it. But at the same time, we are working with Central Bank of Russia in the terms of our participation in the Central Bank system, which is considered as a backup system for the market, and it's good to have a backup in case something goes completely wrong. And I'm pretty sure that we'll find mutually acceptable solution. We do not think that what – with this discussion what's now in the air will somehow affect our guidance for this year and our business model. We think that we will find mutually acceptable solution, which will be supportive for our business model as well. That's about first topic with regards to the second half. I will give the way to Dzhangir, and he will continue to answer your questions.
Dzhangir Dzhangirov: Yes. On the regulatory side, so as you know, mainly last year, Central Bank of Russia imposed new risk rates, the incremental risk rates for certain asset classes, mainly for mortgage loans with loan-to-value of more than 80%, for the cash loans with efficient interest rate more than 10% and also for the foreign currency loans, both for corporate and retail customers. So these macroprudential increments were applied to the banks, which are on standardized approach, and they didn't affect us through the year 2018, since we are on internal-rating-based model. At the same time, Central Bank this year imposed macroprudential rate, the incremental rates for the IRB banks as well. And therefore, we got higher RWA density, both for corporates and retail. On the corporate side, the effect is quite small. And the retail side, just to give you the scale, we got increase from 71% of RWA density to 78%. That was the fact both of mortgages and the cash loans. This year, we might see additional measures from Central Bank for retail and corporate customers with high-payment yield for retail and for high leverage ratios for the corporate. So it's still under discussions. We do not have any estimate of what might be the effect, since Central Bank is still considering different options. On the PTI side specifically, we see that the incoming applications have higher PTI, so we will have growth here. And we'll manage that growth through our risk strategy so that the risk on the portfolio does not increase. We do not see any increase in the risk metrics, including the earlier risk metric. On the growth rate, we still have in Russia the small value – the small retail loans portfolio. So still, the share of the private loans to GDP is – has potential to grow. So we expect that the loans, mortgages and cash loans will continue to increase.
Simon Nellis: Okay. Actually, a follow-up question, your risk question – your risk weight density for the group has been declining steadily since the beginning of 2018. So at the same time, it sounds like CBR is increasing the risk weight. So why is that? Is that a mix…
Dzhangir Dzhangirov: Yes. So last year, we switched from centralized approach to IRB. And we got the positive effect on RWA density, which decreased in the first quarter. However, in 2019 – as for regulatory capital adequacy ratio, we see that RWA density increased. As I said for the retail loans, it increased from 71% to 78%. On the group level, we have a slight decline in the RWA density, mainly because the share of the Central Bank exposure in our security portfolio increased, and also the weight of the government exposure also decreased from 100% to 50%. But this is IFRS effect and not the regulatory capital-adequacy-ratio effect.
Simon Nellis: Alright. Okay. And then just my question on potential currency regulation. Any comment?
Dzhangir Dzhangirov: Currency or…
Simon Nellis: [Indiscernible]
Alexander Morozov: We're ongoing discussions here on excessive merchant discount rates, including and acquiring and interchange fees. And some – certain framework worked out and seems to just [indiscernible] all participants, including Sberbank. So merchant discount rates, it will be kept for sensitive segments like health care, education and similar as well as for car dealers, so big tickets. And new tariffs, it will become a factor starting from first of October 2019. We find these service incentive positive for the market, and the impact of Sberbank will be neutral as we expect further growth in cashless operations in those segments. But we accept some reduction in these segments of respective fees and commissions. So that's how we see situation now. So necessary compromise for fallings and this is a very good illustration of our approach. We expect with similar sort of compromise with neutral or, in sometimes, positive effect will be found in other district or areas not settled yet.
Simon Nellis: So just to summarize, it sounds like you think the volume effect will offset the tariff effect.
Alexander Morozov: Yes.
Simon Nellis: You don't expect to see any…
Alexander Morozov: Yes.
Simon Nellis: Okay. Thanks very much. Thank you very clear.
Alexander Morozov: Yes. By the way, it means I'm reading headlines and see on the right, it's – what's right is a little bit changed or probably it's, of course, my bad translation. The message with regards to Rambler. So Sberbank has really completed transaction with regards to acquisition of 46.5% of Rambler. It's not something in the future. It's really done. It's a matter fact. And I mentioned, for us, this is a surprise for what's at stake. We can do not disclose, but it will be more or less 1%, maybe 1.5% of our net annual – net profits. And not first quarter, but full year out. So it's more correct version. Thank you for understanding.
Operator: Thank you. We have no further questions on the English call.
Anastasia Belyanina: Thank you very much. Yes, thank you for all participants, and thank you for all your questions. And we'll switch to the Russian call.
Operator: Ladies and gentlemen, we’ll continue our Q&A session. [Operator Instructions] Our first question from [indiscernible].
Unidentified Analyst: Hello, I have this question on DenizBank, it was previously voiced. And in the report, the conditions changed in the purchase of DenizBank and different from the initial agreement. What were the specific conditions that were changed? And if it's not possible to disclose these conditions, what will be the impact on the financial performance? And can it change compared to the initial version? Thank you.
Alexander Morozov: We got into an agreement with a potential buyer. We have disclosed only those conditions which include this close. That's all in the press release. Unfortunately, we cannot add anything to what we have already disclosed. I cannot do it. I hope we are understanding because this is not a very simple transaction that needs to be approved in many jurisdictions. The best thing that we can expect is for it to close this quarter considering the fact that all the regulators have to approve it. Afterward, we may be able to provide more details. As of now, this is everything that we can say.
Unidentified Analyst: Thank you.
Operator: Our next question from [indiscernible].
Unidentified Analyst: You said that you're going to just close the deal on a number of shares. Can you comment on that?
Alexander Morozov: Yes. We have signed agreement. [Indiscernible] agreement and sent it for registration. There was no settlement for this transaction. It will happen right after this transaction is approved by all the necessary parties. The documentation has been signed, the binding documentation.
Operator: Alexander, no further questions. [Operator Instructions] As of now there are no further questions. We'll pass the floor to our speakers for the concluding remarks.
Alexander Morozov: I would like to thank all of the participants. It was a record long conference call. We congratulate everyone on the coming holidays, and we wait for you to our next call for the second quarter results. Thank you. Have a nice weekend.
Operator: Dear, ladies and gentlemen, with this, we finish our conference call. We thank you for your participation. Goodbye.